Operator: Greetings, and welcome to the Sidus Space First Quarter 2024 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host. Valter Pinto, Managing Director, KCSA. Thank you, Valter. You may begin. 
Valter Pinto: Good evening, everyone, and thank you for joining us for the Sidus Space First Quarter 2024 Financial Results Conference Call. Joining us today from the company is Carol Craig, Founder and Chief Executive Officer; and Bill White, Chief Financial Officer. During today's call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions, and as a result, are subject to risks and uncertainties.
 Many factors could cause actual results to differ materially from the forward-looking statements made on this call. These factors include our ability to estimate operational expenses and liquidity needs, customer demand, supply chain delays, including launch providers, and extended sales cycles. For more information about these risks and uncertainties, please refer to the risk factors in the company's filings with the Securities and Exchange Commission, each of which can be found on our website, sidusspace.com.
 Listeners are cautioned not to put any undue reliance on forward-looking statements, and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call.
 At the conclusion of our prepared remarks, we will be answering questions submitted in advance. If we do not get to your question within the time frame allotted for this evening's call, Please e-mail our team at sidus@kcsa.com.
 At this time, I'd like to turn the call over to Carol. Carol to go ahead. 
Carol Craig: Thank you, Valter, and welcome, everyone. We had an excellent start to 2024 with a milestone first quarter as we successfully launched and deployed our first LizzieSat from the SpaceX Transporter-10 Rideshare Mission on March 4. LizzieSat-1 is the first 3D printed AI-enhanced multi-mission small satellite focused on geospatial intelligence solutions or earth and space Observation through the combination of multiple technologies and on a single satellite. 
 The successful launch, deployment, commission and activation of LizzieSat is not a small feat. And the magnitude of this achievement cannot be overstated. LizzieSat-1 embodies our tagline of Think Outside the Cube. At 275lb our mission include commercial remote sensing using multiple imagers, messaging services, software solution and artificial intelligence products all in one satellite. LizzieSat-1 is the first of several planned satellites to launch into Low Earth Orbit.
 Our successful first launch sets the stage for our future growth with LizzieSat-2 and 3 currently in production and manifested for launch with SpaceX in the fourth quarter this year. Production of satellites is on track with initial payload and data contracts secured and additional contracts in the pipeline. 
 What's particularly exciting about the planned launch of LS-2 and 3 on SpaceX's bandwagon mission later this year, is that LS-1, LizzieSat-1 is on a polar orbit and LS-2 and 3 will be launched into equatorial orbit. And this gives Sidus the potential for increased revenue opportunity tied to placing multiple LizzieSats in the similar orbits. Enabling us to capture higher revenue-generating data by covering more populated areas, which then increases our potential for payload and data customers. We believe that in combination with the inclusion of additional and higher-resolution sensors and enhanced AI capabilities, these new orbits will add value as we systematically build our multi-mission constellation of 3D printed AI-enhanced satellites. 
 With LizzieSat-1 now in orbit and circling the earth approximately every 95 minutes 16 times a day and providing consistent 2-way communication and data. Our focus shifts to delivering results for our customers. And this includes data collection and expanding our Constellation-as-a-Service and satellite manufacturing operations. And most commercial satellite manufacturing over the last few years has been concentrated on smaller CubeSat operations with fewer experienced companies successfully launching midsized satellites in the 100 to 200-kilogram range.
 And as technology advances and nontraditional industries show increased interest in space-based data, we anticipate growing demand for experienced satellite manufacturers and operators with expertise in satellite larger than CubeSats, like ours. Our unprecedented success with LizzieSat highlights our capabilities and it emphasizes the importance of long-term experience and heritage in the space industry. As we've always said, we're not only focused on Low Earth Orbit but also the moon, Mars and beyond.  
 And the moon focus provides an opportunity to build an infrastructure that enables human permanence on the moon and a transition to commercial operations past Lower earth Orbit and on to more distant destinations. 
 Our research and development team is focused on expanding our offerings to include geostational -- pardon me, Geostationary and LUNAR satellites. And to this point, we recently announced that we are part of NASA's Lunar Terrain Vehicle Services Award as a partner to Intuitive Machines, which involves heavier cargo delivery and moon surface systems development and operations.
 While the first quarter was largely focused on the launch of LizzieSat-1, we also proposed on and were awarded several contracts related to sales of data, payloads and manufacturing. These included a technology hosting payload contract with ASPINA and an IDIQ contract with the National Geospatial Intelligence Agency as a subcontractor to Solis applied science. That contract has a $794 million ceiling in a 5-year base period plus an optional 2 years. And as task orders are released, we expect to support Solis in the areas, and we're excited to demonstrate our capabilities related to Geospatial Intelligence solutions. 
 One of our repeat customers that we are supporting is HEO Robotics who is focused on space situational awareness with their Non-Earth Imaging Services to provide on-demand imagery, including one of the best views of satellite in space. In fact, they recently released a spectacular image of the international space station from only 43 miles away. 
 And we are applying HEO Robotics home imagers on both LS-2  and LS-3 again, expected to launch in the fourth quarter of 2024. Our HEO contracts are an example of our Constellation-as-a-Service offering, which combines technology hosting and long-term recurring data sales. 
 So as we focus on executing our mission to build a one-of-a-kind multi-mission constellation and expand our reach globally and in space. We also expanded our leadership team with the addition of Richard Berman to our Board of Directors; and Bill White as our CFO. 
 And Bill has more than 30 years' experience in financial management, operations and business development and his experience and knowledge are proving to be invaluable during this time of exceptional growth for our company. Richard's sense of experience in venture capital, senior management, M&A and public company board participation adds tremendous value to our Board of Directors. And we're delighted to have both Bill and Richard join our senior leadership team, and I'm looking forward to working closely with them as we propel the company forward.
 As we look forward in 2024, our pipeline grows with increased interest in our satellite manufacturing data offerings and long-term partnerships. We're currently in discussions with industry leaders that include oil and gas companies and international partners that add to our current global contracts. We're progressing towards significant milestones related to our Netherlands TNO agreement, which includes a critical design review scheduled to occur in the next few weeks. 
 Engineering teams from both TNO and Sidus work closely together to ensure that the TNO laser communication technology is successfully enter a future LizzieSat, and that TNO payload is currently manifested for our launch in Q1 of 2026. 
 So with LS-2 and LS-3 currently in production, the team is on track to meet critical milestones leading up to a planned launch later this year and a significant advantage of the LizzieSat architecture design is its flexibility and ability to be quickly customized. 3D printing makes it easier to make modifications and our engineering team incorporated lessons learned from LS-1 to improve on LS-2 and LS-3. And in a traditional manufacturing environment, changes like these are complex, costly and time consuming. And that is not the case with our design. Everything we do is carefully planned and executed with a focus on lean and cost-efficient operations as we continue to deliver on our mission of bringing space down to earth.
 And I'll now hand the call over to Bill to discuss our recent successes and the impact on our business strategy and to discuss our financial highlights. 
Billy White: Thank you, Carol. It's a pleasure to be here today to discuss our first quarter 2024 financial results and to provide an update on our business strategy. Successfully launching LizzieSat in Orbit was a major achievement for the company and a key element of our strategy to shift side both greater revenues and higher margin recurring revenue. 
 As Carol mentioned, each of our satellites are capable of downloading a minimum of 100,000 megabytes of data back down to earth every day. This translates to Sidus being able to theoretically generate $14 million in high-margin recurring revenue per satellite per year, assuming we sell 100% of the data a single time. This business model has the capacity to scale rapidly and generate meaningful high-margin recurring revenue as we launch multiple satellites in orbit. 
 Now on to our first quarter 2024 financial results. Full revenue for the 3 months ending March 31, 2024, totaled approximately $1.1 million, a decrease of $1.2 million compared to total revenue for the 3 months ending March 31, 2023.
 This decrease was primarily driven by the timing of fixed-price milestone contracts and milestone payments related to satellite contracts and fewer contracts with our related party entered into with its customers requiring less outsourcing of its work to us than prior year. Gross profit margin decreased to 8% for the first quarter of 2024 as compared to 40% for the first quarter of 2023. This was largely driven by lower sales from our higher-margin satellite-related business. 
 SG&A expenses for the quarter ended March 31, 2024, totaled $3.6 million as compared to $3.5 million for the same period last year. The slight increase was primarily due to fundraising expenses from 2 capital raises in Q1 2024, partially offset by a reduction in D&O insurance expense and marketing and investor relations expenses. 
 Net loss for the 3 months ended March 31, 2024, was $3.8 million. As compared to a net loss of $3.4 million for the same period last year. 
 Turning to the balance sheet. As of March 31, 2024, the company had cash of $6.2 million as compared to $1.2 million at December 31, 2023. During the quarter, we strengthened our balance sheet by raising gross proceeds of $15.2 million, bolstering our financial position as we continue to expand our constellation through 2024 and beyond.
 With that, I'll hand the call back to Carol. 
Carol Craig: Thank you, Bill. The launch of LizzieSat-1 is a significant corporate milestone that marks the beginning of an exciting new era for Sidus and demonstrates our ability to execute on our strategic priorities. Our 3D-printed AI-enhanced LizzieSats are at the core of our high-margin data-as-a-service business model, with the capability to integrate multiple technologies into a single satellite. 
 Our satellite simultaneous data collections for agriculture, maritime, oil and gas and other industries, and we intend to expand further into these industries to generate additional revenue, resulting in increased value for our shareholders. 
 We truly just getting started in a pivotal year for the company. I'm highly encouraged by the success of our initial phases of operation, and I could not be prouder of my team's dedicated hard work to ensure mission objectives continue to be met. Most initial launches in the industry involve a prototype satellite, and I'd like to emphasize that LizzieSat-1, otherwise known as THELMA, is much more than a prototype. LizzieSat-1 is a functional satellite, and we've begun activating our payloads now that the commissioning phase is complete. I also add that most initial launches in the industry are followed by a bit of a lapse of time before a follow-on launch.
 And as I mentioned earlier, our next 2 satellites are already well in production and manifested for launch. We're executing our plan to build a unique multi-mission constellation and the steps we took early on like securing a multi-launch agreement with SpaceX and purchasing subsystems with long lead times are making it possible to deliver the steady cadence of launches to meet the customer demand that we promised. 
 The success we've already achieved with our very first satellite has built the confidence of our team our industry, our current customers and potential customers as well as our shareholders.
 And I want to thank all of our shareholders for your continued support of Sidus. For those that have been with us from the very beginning [ to those ] that have just joined us, you're all part of our story as we create access to space that has not been available before. And I remain committed to restoring shareholder value and I look forward to the higher revenue streams that we believe our satellite manufacturing and space data constellation will create. 
 And we'll now move on to the Q&A portion of the call. We have received a couple of submitted questions from investors that we'd like to address. 
Carol Craig: The first is how is Sidus leveraging AI and its technology for customers?
 So when we talk about AI, we often describe our solution as edge computing. Edge machine learning or AI involves the execution of machine learning algorithms on computing devices located physically near the source of data and this enables faster, more efficient, more secure processing in various applications across different industries. And this is especially useful for satellite operations in space-based data solutions. Sidus' FeatherEdge product is a high-performance computing platform that enables edge AI for satellites and other assets that operate in harsh remote and often communication constrained environment. Algorithms can be deployed on the platform to gain real-time insights or to make decisions and predictions on the satellite, which minimizes the time from image capture to data delivery. 
 One example where speed of delivery is important is monitoring or tracking illegal fishing activities. And there's a critical time component between detection of those activities and the dispatch of authorities that plays a crucial role in the success of intercepting these vessels.  FeatherEdge is the platform that enables these types of AI use cases. So it's a highly flexible system. It's capable of being reprogrammed after deployment on orbit. And this means that algorithms can be updated and swapped out directly to the satellite as markets or mission needs change.
 In the short term, we're leveraging a variety of data processing, AI/ML applications to deliver enhanced insights faster than our competitors. And in the long term, we will additionally utilize AI and ML to optimize constellation operations and further improve on our data services.
 Next question is, can you talk through the data revenue model and what you project potential earnings could be? 
 So as a reminder, we are an emerging growth company, we don't give guidance, but we understand the interest in how our data revenue model generates revenue. So without speculating on potential earnings, I'll instead describe the components which allow you to draw your own conclusion about potential revenue. Our data acquisition costs are approximately $0.02 per megabyte, and we believe the market data pricing range is anywhere from $0.40 to $1 per megabyte.
 And as Bill mentioned earlier, each of our satellites are capable of downloading 100,000 megabytes of data back to earth every day. This translates to Sidus theoretically being able to generate $14 million in revenue per year per satellite, assuming we sell 100% of this data a single time. Our revenue will fluctuate, because we will likely not sell 100% of the data. However, we may sell the same data many times. So in collect once, sell many model. We can, and we plan to continue to secure data customers for the life of the satellite, therefore, building our customer base over time. Our technology payloads are often also data customers, and we can sell data generated from their technology to other customers as well.
 The next question is which industries and sectors do you foresee being the best potential growth areas for Sidus to capitalize on?
 But one in particular where we see a significant opportunity is in the oil and gas industry and especially with the new EPA rules, coming into effect related to methane emissions. Our technology makes previously invisible emissions visible for space and the use of satellites and addressing this serious environmental concern is critical. What's also key about this growth area is to develop partnerships, which we have with industry leaders to ensure that we meet the needs of the customers from the very beginning.
 Thank you to everyone who submitted questions and thank you to all of you for joining us today for Sidus Space's First Quarter 2024 Earnings Conference Call.
 I'll now ask the operator to close the lines. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.